Operator: Good morning, ladies and gentlemen and welcome to the Henry Schein Third Quarter Conference Call. At this time, all participants are in listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder, this call is being recorded. I would now like to introduce your host for today's call, Neal Goldner, Henry Schein's Vice President of Investor Relations. Please go ahead, Neal.
Neal Goldner - Vice President, Investor Relations: Thank you, Bryant, and my many thanks to each of you for joining us to discuss Henry Schein's third quarter results. If you have not received a copy of our earnings news release, you can access it on our website at www.henryschein.com With me this morning are Stanley Bergman, Chairman and Chief Executive Officer of Henry Schein and Steven Paladino, Executive Vice President and Chief Financial Officer. Before we begin, I would like to state that certain comments made during this call will include information that is forward-looking. As you know, risks and uncertainties involved in the companies business may affect the matters referred to in forward-looking statements. As a result, the company's performance may differ from those expressed in or indicated by such forward-looking statements. Also, these forward-looking statements are qualified in their entirety by the cautionary statements contained in Henry Schein's Securities and Exchange Commissions filing. The contents of this conference call contains time-sensitive information that is accurate only as of the date of the live broadcast, November 5th, 2008. Henry Schein takes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. I ask that during the Q&A portion of today's call you limit yourself to a single question and a follow up before returning to the queue. This will provide the opportunity for as many listeners as possible to ask a question within the one hour we have allotted for this call. With that said I would like to turn the call over to Stanley Bergman.
Stanley M. Bergman - Chairman and Chief Executive Officer: Thank you, Neal and good morning everyone and thank you for joining us for our third quarter 2008 telephone conference call. We are pleased with our sales growth during the third quarter of almost 10% which reflects the benefit of our globally diversified operations. Earnings growth was also strong, up 18% excluding the one time charge related to the Lehman Brothers bankruptcy we announced this morning and was highlighted by operating margin expansion that was inline with our long term financial objectives. As we have said in the past while our customers practices are largely resistant to macroeconomic conditions they are certainly not immune. Given the recent changes in the economic climate respect that the markets we serve continue to grow, but at somewhat slower rates during these challenging economic times, and while we remain confident in our ability to achieve our long term financial goals, we are taking action, in light of our current view that sales growth for 2009, may moderate somewhat from what we have experienced over the past several years. Specifically this morning, we announced an expense reduction initiative that includes reducing our workforce by approximately 300 positions, and closing several smaller facilities. This reduction in the workforce represents approximately 2.5% of our total headcount. This is a very difficult decision for Henry Schein, but by taking these steps to reduce costs, the company will remain well positioned to help our customers operate more successful practices and deliver high quality care to their patients in these challenging periods. We have confidence in the future of Henry Schein and demonstrated this confidence by repurchasing about $23 million of Henry Schein common stock during the quarter plus an additional $28 million already this quarter. In a moment I will provide some commentary on each of our four business groups. But first I will ask our Chief Financial Officer, Steve Paladino to provide an overview of our third quarter financial results. Steven?
Steven Paladino - Executive Vice President and Chief Financial Officer: Okay, thank you, Sam. Let me start by pointing out that prior year information has been restated to report the oncology pharmaceuticals and specialty pharmacy business as discontinued operations. For purpose of comparison I will discuss our Q3, 2008 results compared with results from continuing operations in the prior year. There is no impact from discontinued operations in our current period. Our net sales for the quarter ended September 27, 2008 were $1.65 billion, reflecting 9.6% growth over the third quarter of 2007 or 8% growth in local currencies. 2.2% of this growth was internally generated while 5.8% acquisition growth was primarily due to the acquisitions of Dunlop, Software of Excellence and Minerva. Please note that the details of sales growth are contained in Exhibit A of our earnings news release that was issued earlier today. We also previously announced an initiative of reducing sales of certain lower margin pharmaceutical products. Excluding sales of those products world wide internal sales growth in local currencies was approximately 4.5%. Our operating margin for the third quarter of 2008 was 7% and was 56 basis points higher then the third quarter of the 2007. I think it is important to point out that, excluding flu vaccine sales, our operating margin also expanded. It expanded by 41 basis points during the quarter, as we continued to grow both our sales and leverage our infrastructure. Our effective tax rate for the quarter was 32.5% and that's compared with 34.1% from the third quarter of 2007. We expect our effective tax rate to remain in this 32 to 33% for the fourth quarter of 2008. And for 2009, we expect our effective tax rate to be in the range of 33 to 34%. Our third quarter net income was $68.4 million, which represents growth of 12.8% from the prior years third quarter and that's prior year's third quarter again from continuing operations. Earnings per diluted share for third quarter of 2008 was $0.75 per share reflecting an increase of 13.6% over diluted EPS from continuing operations for the third quarter of 2007. As noted press release this results include a pretax charge of approximately $4.5 million or $0.03 per diluted share related to Lehman's Brothers bankruptcy. There are two components of this charge. First we entered into foreign exchange forward contracts with Lehman Brothers to hedge our inter company transaction flows with out international operations. These contracts hedge identifiable transaction flows and were not speculative. With bankruptcy of Lehman Brothers these contracts are in the fog as such we have reserved amounts due us totaling $3.7 million. Second we had cash invested in the reserve primary fund at a money market fund that owned Lehman Brothers debt that is now being liquidity. We have reserved approximately $0.8 million against the potential loss from this investment. Excluding the impact of this charge our net income from continuing was $71.5 million or $0.78 per diluted share an increase of 17.8% and 18.2% respectively compared with last year. Now let me provide some detail on our sales results for the third quarter. Our Dental sales for the third quarter of 2008 were $644.9 million, representing 4.5% growth in US dollars, or 4.4% growth in local currency. Essentially all of this growth was internally generated Consumable merchandise sales were 4.8% ahead of the prior year in local currencies, all of which was internally generated, and dental equipment sales were 3.4% ahead of the prior year in local currencies, again, substantially all of which was internally generated. Our Medical sales were $426.9 million in the third quarter, which is down 4.1%. Our internal sales increased 4.2% and there was small 0.1% growth from acquisition. As we have done on previous calls, we are providing sales growth, excluding sales of certain lower margins pharmaceutical products to give a better understanding of our underlining medical group sales trends. Our Medical group internal net sales growth excluding these products was approximately 3.4%. During the quarter we sold approximately $10.5 million doses of flu vaccine for the third quarter representing sales of approximately $86.4 million. This compares with 7.3 million doses in last year's third quarter which represented approximately $78 million in net sales. Excluding sales from influenza vaccine and lower margins pharmaceutical products, our internal medical sales growth was plus approximately 2%. Turning to our International group, sales for the third quarter of 2008 were $538 million, up 30.7% over the prior year. Growth in local currencies was 24.7% with 5.2% internally generated and 19.5% acquisition growth, due primarily to the acquisitions of Dunlop and Minerva. Foreign exchange currency differences contributed 6% to our International growth. Our technology and value added services sales were $41 million and were 28.8% ahead of Q3 '07. 11.3% was internally generated and 17.5% was from the acquisition of Software of Excellence. Our electronic and financial services businesses had very strong growth during the quarter as well. Let's now take a brief look at some of the highlights of our balance sheet and cash flow. Operating cash flow for the quarter was $49.9 million and that compares to $69.2 million in the prior year third quarter. On a year-to-date basis our operating cash flow was $188.6 million and that compares to $149.9 million in last year's year-to-date results. We expect to achieve our goal of operating cash flow for the year in excess of our net income. Accounts receivables days sales outstanding from continuing operations was 41.4 days for the third quarter and that compares to 42 days for the third quarter of 2007. Our inventory returns from continuing operations for the third quarter was 6.6 turns, basically unchanged from the second quarter and this compares with 6.9 turns for the third quarter of 2007. Our return on committed capital from continuing operations was 37.5% for the third quarter of 2008, and that's improved from 34.7% in the third quarter of 2007. Let me also note that in early September, we announced that we replaced our previous $300 million credit facility with a new $400 million credit facility at favorable terms. This new facility which is currently untapped is a five year facility, committed five-year facility that matures in September 2013. We are very pleased to secure this facility, given today's very challenging credit environment and are also very pleased to have a strong banking syndicate lead by JP Morgan Chase. As Stanley, mentioned this morning, we announced an initiative to reduce costs in light of the current economic environment. We expect one time pretax cost associated with this initiative to be in the $22 million to $25 million range. And we expect these costs to be recorded in the fourth quarter of 2008. We further expect annual pretax savings from this initiative to be approximately $24 million to $27 million and this is included in our 2009 guidance. Let me conclude my remarks by discussing our guidance. We are updating our 2008 financial guidance as follows. We expect 2008 diluted EPS to be $2.94 to $2.96 and that represents growth of 14% to 15% compared with 2007. This guidance excludes the charge related to the Lehman Brothers bankruptcy as well as the cost associated with the expense reduction initiative. And this compares with our previous guidance for 2008 in the range of $2.93 to $3 per share. Our 2008 EPS guidance includes our expectation that we will distribute approximately 4.5 million additional doses of flu vaccine during the fourth quarter. This 2008 guidance is for common operations and includes completed or previously announced acquisitions but does not include the impact of any potential future acquisitions. Turning to next year, we're introducing 2009 financial guidance as follows; we expect 2009 diluted EPS to be $3.27 to $3.36, representing growth of 11% to 14% compared with the midpoint of our 2008 guidance. The 2008 guidance excludes again the charge related to Lehman Brothers bankruptcy as well as cost associated with the expense reduction initiative. Let me point that our 2009 guidance takes into account the recent strength in U.S. dollar as well as current economic conditions. And also our 2009 guidance includes our expectation that we will distribute between 12 million and 13 million doses of influenza vaccine during the year. This 2009 guidance, as all of our guidance is for current operations and does not include impact of any potential future applications. Let me now turn call over Stanley.
Stanley M. Bergman - Chairman and Chief Executive Officer: Thank you, Steven. I would like to provide you some additional commentary on each of our four business groups. Let me start with the Dental group. Based on anecdotal information, we believed that the backlog of patients at the average dental office has gone down somewhat, although not a lot. But as evidenced by our consumable merchandised sales growth this quarter, dentists continue to have busy practices. While we do not think the current economic environment had a significant impact on our dental consumable merchandise sales, we do believe it had an impact on our sales of dental equipment, where growth was slower compared to the previous quarters. We expect the dental equipment growth in the fourth quarter to be similar to the third quarter growth. Yet, over the long term, we expect dental equipment growth to be driven by further gains in advanced technology products, including 3D Imaging, digital radiography and CAD/CAM. In addition with less than 28% of our 2007 North American dental sales represented by dental equipment, we continue to be under penetrated relative to the overall dental equipment market. We have solid relationships with our key suppliers such as Colgate for consumable dental merchandise, Johnson & Johnson for products such as Arestin Danaher, Midmark, Air Techniques, D4D, Serona and Biolace for dental equipment among others. These relationships provide Henry Schein with an important competitive advantage. Another competitive advantage that we enjoy is ability to facilitate financing for our customers and in these uncertain economic times. Through Henry Schein Financial Services, we are able to offer our customers equipment financing at attractive rate at a time when others have very limited access to capital. Let me remind you that we provide our customers with access to financing and get paid immediately with no recost to Henry Schein. Our third quarter results for Henry Schein Financial Services were really terrific and we are pleased with the fact that we can continue to finance a greater portion of our dental sales, specifically on the equipment side, through Henry Schein Financial Services and that the facilities remain readily available to our customers. Let me now turn to our Medical group. As Steven mentioned, during the third quarter, we sold 10.5 million doses of influenza vaccine and as of October 31, we sold approximately 12.7 million doses. We were pleased that our manufacturing partners received early FDA approval this year, which we are able to leverage to better serve the needs of our customers. During these difficult economic times, our customers are looking to us to help them maintain or expand their profits. One solution that our medical group offers is a selection of more than 5,000 Henry Schein private-brand items. These include disposable supplies, instruments, testing kits which we sell at considerable savings versus the branded alternatives. One should be... one should recognize that as one moves... sales from the brand to the private-brand the corresponding sales go down. However, the savings for our customers go up and the absolute dollars in profits go up for the company. And more than ever customers are choosing today these high-quality products, as evidenced by the 20% growth in our private-brand sales by Medical group in the third quarter. Parenthetically some of the growth has been experienced in our Dental group and our International group where the conversion from branded product to private brand does deflate the selling price, but is of great interest to the customers and of course maintains or actually increases our overall gross profit in absolute terms. We also continue to make progress with our Medical One World initiative and are excited about the opportunities created from the consolidation of our businesses under the Henry Schein Medical brand. Now let's turn to the International group, where the results reflected solid internal sales growth in local currencies and as well as the impact of certain successful strategic acquisitions. I'm happy to report to shareholders today that we once again, achieved solid growth in all of our major international markets. The UK had a good quarter driven by strong dental consumable equipment sales as well as the results from the Minerva acquisition, the full service dental business that we acquired in April. Minerva is now fully integrated into our UK business and we are seeing synergies from the sales of consumables to Minerva customers and additional equipment to the Henry Schein customers. Our business in France reported strong quarter, a strong quarter driven by sales in both merchandise and equipment. We reported good sales growth in Germany, driven by strong equipment sales. We had a very strong quarter in Australia and New Zealand from a sales point of view and of course from a profit point of view as well. We recently signed an exclusive agreement with Danaher to be the exclusive distributor of their cable line in Australia to supplement our already good offering of equipments in that country. Finally, we reported good sales in Italy, driven by particularly strong equipment growth. We also are very pleased with the SAP software platform that is now fully implemented in our Italian businesses which will help us operate more efficiently on a pan-European basis. The strategy for overall European business is to move all of our businesses on to a common platform. I returned from our Italian business last night, had extremely good meetings with our Italian team yesterday which yet again proves that the concept of migrating to a common platform for Henry Schein businesses throughout the world is correct way to go and in the end will be very, very good for top-line growth as well as reducing our expenses and therefore increasing our operating margin. Finally, let me conclude by review of our business groups with the discussion of the technology and value-added services group. This group extended its long history of excellent sales growth for the quarter, sales up 29% over the prior year period. Revenue growth reflects the acquisition last year of Software of Excellence, a leading supplier of innovative clinical practice, management solutions, and related equipment. Software of Excellence with its excellent management team continues to perform very well and above our expectations. We are gratified to see that the strategy to incorporate dental imaging sales into the Software of Excellence business is working very well. We also saw continued good growth in financial services, as I mentioned earlier on, as a number of equipment and practiced financing transactions increased by more than 30% in the third quarter, compared with the previous year and we remain ready with the appropriate credit lines to support fourth quarter equipment sales and of course into 2009. So, in closing, we did achieve solid third quarter financial results. We also are pleased to be on track to meet the full year guidance for 2008 that we introduced over a year ago. Despite deterioration in the over all economic environment, we think that this is a testament to the management team and to all 12,000 team Schein members that over a year ago, we developed the appropriate plans to generate the earnings guidance and related results. We of course fine tuned those plans during the year and are confident that the guidance that Steven provided is within our comfort zone. Further more as testament to our confidence in the strength of our business model, we have introduced 2009 guidance that features EPS growth of 11% to 14%, again in the face of macro economic trends. With nearly $290 million cash and equivalent, low debt levels, positive cash flow, our new credit facility completed at a time when the interest rates were far more reasonable than today, we're on very strong financial position to implement our strategic plan and to seize new business opportunities. As stated earlier, our customers continue to have busy practices, albeit with slightly less backlog than perhaps a year ago and which may in fact impact certain elective procedures. We believe that with expanding number of products and value added services which adhere towards helping practitioners operate a better small business and provide better clinical care during these challenging times, we believe that we are able to offer great services that are needed at this time for our customers and remain very optimistic about the future of Henry Schein. We believe that the decision we made to reduce headcount by 300 team Schein members is appropriate and in conformity with our needs as a company to invest more funding in the business, to grow the business and at the same time deliver on our consensus estimates as Steven provided earlier on and so help to increase shareholder value. So, with that overview I think for your attention this morning. And now operator we're ready to take questions. Thank you. Question And Answer
Operator: Thank you, Sir. [Operator Instructions]. And your first question comes from the line of Glen Santangelo.
Glen Santangelo - Credit Suisse: Yes, Stan. Just quick question on the equipment business. I'm curious to get your opinion on what you think that Dennis is reacting to, I mean clearly you suggested, he has seen little bit of slowdown in his backlog. Do you think that's what he is nervous about? Doesn't sound like it's a credit issue, or do you think it's really just a loss of his own personal wealth? That maybe is making him a little bit more cautious in terms of buying new equipment?
Stanley M. Bergman - Chairman and Chief Executive Officer: Yes, Glen. I think we noticed a postponement of installations right about the time when the markets started to slide in the middle of September. The decision I think to postpone purchase of particularly the high end equipment is related to in our view the net worth and the shock of receiving financial statements from brokers towards the end of... towards early October but in anticipation of those statements the concern emerged in the middle of September. We're now in the process of explaining to our customers the value of using this new equipment. Specifically the high tech equipment in helping the practitioner operate a more efficient practice so that they can focus on increased productivity, reducing expenses and managing the practice and off course providing better clinical care. But we think that the concern relates to the financial condition of the practitioner rather than a rapid slowdown in patient flow. Although as we've said for a long time, the more elective procedures, whether it's in the orthodontic or implant area, perhaps in expensive laboratory area all I think contribute to a marginal slowing in the consumable demand... demand for consumable products.
Glen Santangelo - Credit Suisse: Stan, if I could maybe just ask one follow-up question to that, so if the weakness is on the high end, it kind of sounds like it's maybe in 3D, Cone Beam and maybe the soft tissue laser. I mean one of the big growth categories for you has been digital x-ray. I mean are you still seeing some growth there? Or you still believe you're taking market share? And I guess based on your 2009 outlook, you're kind of assuming that, this current environment persists for at least a couple few quarters and is that the primary catalyst for may be a slightly lower than normal outlook as it relates to 2009?
Stanley M. Bergman - Chairman and Chief Executive Officer: Glen, the question you are asking is one that I personally get over to our senior management, spend lot of time reviewing with our suppliers, specifically at the ADA meeting and we believe that we continue on balance to gain market share on the consumable side and the equipment side. I think it's only prudent for us to be a little bit more cautionary because we have all intentions and desires and a big drive to deliver on the results that Steven has articulated in the guidance. These numbers do contemplate a stronger dollar which at the margin doesn't impact earnings a lot but with a steep rise in the dollar there is some impact on the bottom line. We've got to take that into account. I think we've got to take into account for 2009 that we will sell proportionately less flu vaccine. And so I think on balance taking all of this into account and really not knowing where the economy is going to be heading and whether there will be even a moderate recovery in the financial statements from a market equity point of view of our customers, I think it is prudent for us to be taking little bit more caution. I believe on the digital x-ray side, we well continue to grow; how fast we grow is very hard to tell. We see good demand for D4D, but as you correctly point out on the more expensive items, there is a challenge. One should also recognize and we are getting perhaps a little too micro, that on the 3D side there are now medium field review new products available at much lower price. That is also taking some market share from most expensive units and we have actually seen a movement from more expensive dental units, chairs... to the lower price units. You know all of these are small but I think it is absolutely appropriate for us to be little bit more cautionary and at the same time for us to continue to invest in our business because we see great, great opportunity in the medical, dental and international arena to increase our footprints and over time increase our overall profitability and shareholder value. We remain very optimistic about Henry Schein and our opportunities.
Glen Santangelo - Credit Suisse: Okay very good thanks.
Operator: Your next question comes from the line of Lisa Gill.
Lisa Gill - JPMorgan: Thanks very much and good morning. I just had couple of follow up question as it pertains to the guidance and looking to next year. First when we think about foreign currency, I think that Stan you said that there won't be an enormous impact but obviously I think it helps you in 2008. May be you could just talk about the headwinds and the differences between the two years, it being the first time. And then secondly, on the positive side you have talked about on the private label product being up 20% and obviously the margins been better in that portion of your business. Can you talk about what your expectations are for private label and potentially where do you think it could potentially go and then just lastly I think that when you gave Steven the guidance for next year, you usually give us some indication as to what your expectations are around margin improvement, did I missed that or did you just not give it this year. Thanks.
Stanley M. Bergman - Chairman and Chief Executive Officer: Lisa, thank you. Let me just go on to the private label side. The private label drive is particularly strong in the medical arena. Position reimbursement per procedure is going down. There are many instances that practitioners are expecting it to go down, in light of the expectations on reimbursement from Washington. Having said that, the number of procedures clearly is going up in the out patient physician office setting. So, the physicians who see the use of private brand in the hospital setting are very comfortable using private brand. So, the marked movement towards private brand I think is to be expected on the medical side. Likewise, in Europe, we have seen in certain countries, a rapid movement towards private brand. On the dental side here, I don't think it's as common for the technique sensitive items and there will be there will be not a major shift. We also do not sell private brand equipment in general, certainly not in the U.S., maybe in one or two smaller businesses in Europe. So, I think I would like to qualify my earlier statement. I do believe there will be a continual movement towards private brand on the medical side and in specific markets in Europe and a slight movement on the dental side in the United States and not in the equipment arena. As far as foreign exchange is concerned and margins, let me ask Steven to respond to that.
Steven Paladino - Executive Vice President and Chief Financial Officer: Okay. On foreign exchange, we did have some benefit this year. The benefit in Q3 was really insignificant, but on a year-to-date basis, it's probably somewhere plus or minus a $0.01 per quarter on a year-to-date basis. So that it didn't have favorable impact. We are not expecting a favorable impact going forward into 2009. Again we really try to manage the business. We don't hedge that translation adjustment because of planning economic exposure. It's only an economy exposure. So we do expect the dollar to continue to strengthen a bit from where it is today and that's factored into our guidance. With respect to margins, yes we did not give specific margin guidance on the call just now. But I would say that we do expect to get operating margin expansion and we do expect to be on the high-end of our long-term goals, specifically because we have introduced, I mean other expense reduction initiative that will have benefits in 2009. And we are expecting sales growth to moderate a bit. So obviously, if we are going to achieve our guidance. We do expect to get strong margin expansion in 2009.
Lisa Gill - JPMorgan: All right. Thank you very much.
Stanley M. Bergman - Chairman and Chief Executive Officer: Okay.
Operator: Your next question comes from the line of Randall Stanicky.
Randall Stanicky - Goldman Sachs: Great, thanks for the question. Just two follow up questions around the guidance. One, can you just help us to understand how we should think about the annualized cost savings of the restructuring $24 million to $27 million to roll on and then second as we look at the minority line of that [ph] Camlog was down and we talked last quarter about that being flattish. So can you maybe talk about what you've built in terms of expectations around that? Thanks.
Stanley M. Bergman - Chairman and Chief Executive Officer: Second point, about being flattish I didn't hear?
Randall Stanicky - Goldman Sachs: In terms of your minority line in Camlog just how do we think about that line item going forward?
Stanley M. Bergman - Chairman and Chief Executive Officer: Okay, first on the expense reductions. It won't be perfectly evenly throughout the year, it will be little bit more increasing over the year. It will be relatively throughout the entire year for 2009, because we do expect the activities to be completed by the year end. That's why we're expecting the new charge to occur all in the fourth quarter and therefore we do expect it to be relatively even throughout the year. With respect to minority interest, the growth in the minority interest even though it's an expense item, it's a good growth because that means that the controlling interest that we have, primarily in two business, the Camlog business and the Australian business where we own over 50% of both of those business units has been growing very nicely because of growth the minority interest in that net income should continue to grow as are underlying business profitability grows.
Randall Stanicky - Goldman Sachs: Right, but in terms of off a little bit, should we think about this quarter as being appropriate run rate growing forward?
Stanley M. Bergman - Chairman and Chief Executive Officer: This quarter again because Camlog has a significant amount of business in Germany and because I think you should realize summer months are the slowest months for our International operations. I don't think this is the typical run rate I think you are going to see it increase a bit.
Randall Stanicky - Goldman Sachs: Okay.
Stanley M. Bergman - Chairman and Chief Executive Officer: In Q4 as well as again as the business grows, it should increase proportionate to the growth in the business profits.
Randall Stanicky - Goldman Sachs: And just to be clear on the expense run rate? What quarter should we think about as being sort of the peak savings in terms of annualizing that number going forward?
Steven Paladino - Executive Vice President and Chief Financial Officer: I don't know if I have specific on the peak. Again, it will be relatively even throughout the year.
Randall Stanicky - Goldman Sachs: It sounds like you get there fairly quickly then if the cost savings are done in short order going forward by Q1 and Q2, it looks like we sort of... realize most of those cost savings. Is that fair?
Stanley M. Bergman - Chairman and Chief Executive Officer: I think that's a fair way of looking it, yes.
Randall Stanicky - Goldman Sachs: Okay. That's helpful. Thanks guys.
Stanley M. Bergman - Chairman and Chief Executive Officer: Okay.
Operator: Your next question comes from the line of Robert Willoughby.
Robert Willoughby - Banc Of America Securities: What if any impact are you are seeing from your competitors free dental software program and secondarily you did redo the Glaxo relationship, where do we see or where we see the impacts on your financial statements from doing that?
Stanley M. Bergman - Chairman and Chief Executive Officer: Firstly, on the competitive marketplace, we really don't see much of an impact. On the software side there has been a gradual movement from the sale of general software to electronic claims processing and other electronic services and this movement began about three or four years ago and will continue we think for a while, while not actually permanently. So providing free software is something that we also provide but I don't think at the end of day that's what drives the sale. There's much more to driving equipment sales and consumable sales and free software and that's not something we are responding to in any particular way, we've had this kind of a plan in place for a while in any event.
Steven Paladino - Executive Vice President and Chief Financial Officer: Yes I'll talk about the Glaxo amendment, really we don't expect it to have any significant impact on our financial results, basically the amendment did two things. First it's shortened the duration of the contract. It is now a five year contract, it was a contract for a longer period of time. But with a five year committed contract with this amendment. And the second thing is it really aligned our purchase commitment to what Glaxo's production expectations are currently. And so before this amendment on how purchase commitments allowed for incremental purchase commitments based on their production expectations, but given now their new production expectation is really aligned with that. It did effect for 2008 so again from a financial prospective it was really kind of cleaning up the contract and really should not see or expect to see any noticeable results in our financial results this year or in future years.
Robert Willoughby - Banc Of America Securities: So no charge or intangible whatsoever on that?
Stanley M. Bergman - Chairman and Chief Executive Officer: That's correct.
Robert Willoughby - Banc Of America Securities: And just lastly where do the cuts come, you are shutting some facilities, letting 300 people go, what areas will they be across the company or any targeted areas?
Steven Paladino - Executive Vice President and Chief Financial Officer: I think you will across the company both domestically, internationally, where it is a very difficult decision to let any team Schein members go. The 2.5% impact in any particular business is not material, it's across the board in all our businesses.
Robert Willoughby - Banc Of America Securities: That's great thank you.
Operator: Your next question comes from the line of Derek Leckow.
Derek Leckow - Barrington Research: Thank you, Steven just a question here on the operating margin and the savings you talked about. If I leave the model alone and plug in the numbers you gave I get about 30 to 40 basis point contraction in operating margin before the savings, and then with the savings I guess the question becomes are you also anticipating some contraction in the gross margin next year?
Steven Paladino - Executive Vice President and Chief Financial Officer: Again we're getting into really specific guidance that we typically don't get into but we're really not expecting any significant changes in our gross margins going forward. Again I will point out that as we've see in Q3 the bulk of our business really has very little impact on economic changes, mainly the consumable part of the business. We do expect slower growth in the equipment side and as equipment does have very good margin especially incremental equipment sales. You should factor that into your modeling also.
Derek Leckow - Barrington Research: That'sabout getting up a mix issue for next year and also you guys I think used a lower assumption for influenza vaccine. Why is that and what impact would that have also on the margin?
Steven Paladino - Executive Vice President and Chief Financial Officer: Well if you look at our guidance we try to do, there is lot of uncertainty in the economy, there is some uncertainty in our business and we really try to be conservative in the guidance that we're giving. We want to make sure that we'll achieve our guidance and hopeful that there are opportunities for acquisitions and other things so we can do better. So when you look across the board on the EPS growth, again we try to be conservative, the same thing with flu vaccine. We want to be conservative in our expectations for what we're going to sell in 2009. So that why we are little bit lower than where we expect it to come in this year, and again it's just generally that we feel that it's important to put to out guidance, given all the uncertainty in the market that we feel comfortable that we can achieve that we have high confidence that we could achieve. And during the year there is something that's positive, there's always opportunities to update guidance during the year.
Stanley M. Bergman - Chairman and Chief Executive Officer: Just a follow on little bit on what Steven said. Our goal over the last several years has been to reduce the percentage of profits from the flu arena and we have been executing in accordance with that plan. We are focused on selling flu vaccine to our customers in for the general customers for medical products which tend to be the small practitioners. And it's that context that we are focused on the practitioner versus some of the larger customers in the flu area such as these flu clinics, the providers of flu in pharmacies et cetera, nursing home providers. That's interesting business but in line with our concept of reducing the volume of low margin pharmaceuticals, we would like to remain focused on the specific customers that we sell general products to smaller practitioners who appreciate the service from the Henry Schein and are therefore prepared to pay a little bit more and accordingly find that a better business to go after and therefore are reducing expectations for the sale of flu vaccine.
Derek Leckow - Barrington Research: So, in summary, its sounds like despite the fact that you're expecting lower volumes on equipment, the margins should be fairly stable, the gross margin?
Steven Paladino - Executive Vice President and Chief Financial Officer: Yes, I think that's right.
Derek Leckow - Barrington Research: Okay.
Stanley M. Bergman - Chairman and Chief Executive Officer: Well I think, we also, as Steven mentioned earlier on, on the overall operating margin, continue to move the business towards our strategic goal, which is to increase margins by 25 to 50 basis points. That is our overall goal and our budget for 2009 contemplates that goal continuing.
Derek Leckow - Barrington Research: Okay. Thank you, very much. Good luck.
Stanley M. Bergman - Chairman and Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Larry Marsh.
Lawrence Marsh - Barclays Capital: Hi, good morning, Stanley and Steve. Just a couple of follow-ups. Could it be... you may have already said this, but I know coming into this quarter, you talked about flu; all these contribution for '08 being that $0.13 to $0.16 per share is that... are you at the higher end of that given your volume is a little bit higher and how do we even think about conceptually the flu contribution for '09?
Stanley M. Bergman - Chairman and Chief Executive Officer: Well, for 2008, we are still within the range. We are not going to be very specific. We still expect to be in the range of $0.13 to $0.16. It will probably the slightly lower in 2009 again because right know our expectations are to sell little bit less doses than we are selling into 2008.
Lawrence Marsh - Barclays Capital: Right.
Stanley M. Bergman - Chairman and Chief Executive Officer: And so it'll be slightly less.
Lawrence Marsh - Barclays Capital: Okay, and then just to make sure I got this right the... when you sort of think about what are your assumptions for '09 given the accounting translation on your foreign business. What is your general level of expectations of the exchange rate between euro and the dollars as your budget?
Steven Paladino - Executive Vice President and Chief Financial Officer: Right now we are contemplating that the dollar will stay the same or strengthen slightly. There was a big move just a couple of weeks or so we've got with the dollar strengthened significantly and obviously Larry, I want to caution you we're not experts in forecasting the way dollar goes but again there's been some headwind benefits in 2008 and we think there will be... sorry some tailwind benefits and we think there will some headwind in 2009 because of foreign exchange.
Lawrence Marsh - Barclays Capital: Right, to just be clear as the dollar-euro exchange rates you just called out 125 to 130 you are saying that your thinking is the dollar could strengthen a little bit in '09, knowing that you're not been an expert in principal you add if it does and that would again constitute incremental a headwind of maybe a couple of cents or more versus '08.
Steven Paladino - Executive Vice President and Chief Financial Officer: That's right, that's exactly right. We will call out, if the dollar does move dramatically in anyway and we'll talk about that and will be transparent in our future conference calls because it's not something that we can obviously control.
Lawrence Marsh - Barclays Capital: Okay
Stanley M. Bergman - Chairman and Chief Executive Officer: Dollar weakened over a long period of time and a rapid increase in dollar obviously is of concern. If it strengthens in a moderate way that's one thing but when we have these rapid changes, I think we need to take those into account.
Lawrence Marsh - Barclays Capital: Right as you're doing in your... in your expectations.
Steven Paladino - Executive Vice President and Chief Financial Officer: ut I think it's the time maybe we're little cautious but no one knows where the system would go.
Lawrence Marsh - Barclays Capital: Yes that's certainly prudent and just on the... Steve how are you thinking about your allowance for doubtful accounts? Do you think about the economy being more challenging, obviously you've done a good job of bringing that down as a percentage of the gross receivables. There is another fact on your expectation that you might have that creep up a little bit more in '09 or no?
Steven Paladino - Executive Vice President and Chief Financial Officer: Well, we're monitoring our accounts receivable very closely. The good news is we're really not seeing in any parts of our business, any lengthening of people taking longer to pay. In fact we saw even in Q3, our DSOs improved slightly, versus last year. So right now customers continue to pay very well. So our customer base again from the credit risk point of view is probably one of the best customer groups in any industry. So we are really not expecting bad debt exposure to creep up at all. But we'll monitor it very closely and we'll make sure that, customers continue to pay timely.
Steven Paladino - Executive Vice President and Chief Financial Officer: Okay, just a second question again around the markets. It seems like one of the topics at ABA was credit availability. And I'm kind of curious from what you said, do you feel like that market's been disrupted a bit, especially given GE being out of it completely for a while. And is that also factoring your expectations for '09, and are you... have you ever given us sort of sense how much that total equipment leasing business should now originating through Henry Schein's financial services?
Stanley M. Bergman - Chairman and Chief Executive Officer: Larry, as we mentioned in the call, we actually are very pleased with our access to funds. Although, you are correct GE and even Citibank as a result of the sale of the business that you are referring to GE close a major disruption. But from our customer's point of view, we did not need miss a beat and feel very confident that the credit lines that we have available for the fourth quarter and into 2009 are very good. We have competitive offerings through Henry Schein Financial Services and Steven and the team in Henry Schein Financial Services, I think have done an outstanding job which puts us in a comparative advantage. As to the profitability of Schein Financial Services I will let Steven answer that.
Steven Paladino - Executive Vice President and Chief Financial Officer: Yes, let me just before I go to the profitability, I think it's important to note in the dental as well as position space, fact that GE is pretty much not giving much financing at all today will have a negative impact generally in financing in our market. That will not impact us. We have access to three different sources of finance and I won't name them just for competitive reasons. We are doing more financing today, than we've ever done. As Stanley said in his prepared remarks on the third quarter was up about 30% in the number of transactions that were financing. So Henry Schein, I think does have a competitive advantage in being able to access financing for our customers. Again, let me just also repeat, we have no credit risk through us on those financing transactions. We get paid immediately from the financing sources. And we do get paid effectively sales commission, of points for every transaction that we bring. And it a private brand financing for our customers. So I think we are in very good position, financing is a small business financial services for us. But it is very profitable, has very high operating margins. And our goal is to continue it. But again not to take the credit risk because we really don't want to be a bank, or a financing institution.
Lawrence Marsh - Barclays Capital: Right. And so in terms of total amount of business that is being leased, what percentage is coming through your sort of brand? Have you ever given us that idea?
Steven Paladino - Executive Vice President and Chief Financial Officer: No, but I can tell you that. Henry Schein Financial Services which has more than one private brand, is probably financing our huge U.S. dental equipment, because I know that number, probably, as much as 30% or 35% of all the equipment that we sell. So it's a very high percentage of what we sell, we finance. On private brand. Now there are some customers that may use financing outside of Henry Schein. They may go through a bank credit line or home equity line or some other sources, but I think if you compare private level financing, 30% is very solid penetration.
Lawrence Marsh - Barclays Capital: Okay. One other quickly, it sounds like then Stanley, you are saying that despite Eagle Frosting [ph] given away. You are really not seeing that as a surprise, there is not really change in the profitability or technology business. So are you communicating that you don't even see guidance being economically sensitive the way some of this equipment is being impacted?
Stanley M. Bergman - Chairman and Chief Executive Officer: No. I think and we supported this through our calls over the years. The movement in revenue on the U.S. dental software business is one of migrating and has been one of migrating to electronic services, in fact providing software free or no charge or at a minimal charge may in certain instances be very profitable because of the ongoing recurring revenue. I don't want to get into details because of competitive situation and the way in which we market our software. But and I'm talking about the U.S. dental business, the European business Software of Excellence is a different model because there is a different kind of synergy between digital x-ray and software. It's a different model. But in the U.S. the changes you refer to not are really impacting our business. It's a quality of the system, the overall service that's important. That is received from our field consultants that's important and then what is ultimately important in this whole equation is how recurring revenue, we can make from the customer. All of that's taken into account and has been taken into account for a long time now in the overall relationship with the customer. We believe we continue to gain market share on the digital side and we're very, very pleased with our Dexis relationship plus some of the other products that we offer in that arena.
Lawrence Marsh - Barclays Capital: Very good, and finally I was assuming your communicating today you'd still look to be opportunistic in making acquisitions given your steady cash flows both domestically, internationally or you are saying, you might want to be a little bit more conservative in allocation of cash during the next year?
Stanley M. Bergman - Chairman and Chief Executive Officer: Well I think I would hope we've always being conservative in the way in which we managed our M&A program.
Stanley M. Bergman - Chairman and Chief Executive Officer: More conservative yes.
Stanley M. Bergman - Chairman and Chief Executive Officer: Our Pipeline is as full as ever, we of course are very cautious as we always have been on business we buy and the business we buy are generally always business that tie in to the office base practitioner environments either tuck in acquisitions or geographic expansion or product expansions for that group of customers. So I think you can expect us without making any commitments obviously because we cannot make comments until a deal is signed to continue to make acquisitions at the level that we've made over the year... the past few years although I think it is fair to say that the prices of acquisitions has come down a little bit because the smaller competitors are having a problem accessing capital. We're very pleased with our current cash balance or marketable securities balance on our balance sheet and also the line of credit that Steven was able to agree to with our banks about six weeks ago.
Stanley M. Bergman - Chairman and Chief Executive Officer: Very good. Thank you.
Operator: Your next question comes from the line of John Kreger.
John Kreger - William Blair & Company, L.L.C: Hi thanks, two quick questions. One, could you give us an update on how D4D is performing, now that you've gone from a control launch to a broader launch and Stanley could you also perhaps expand just a bit more on how you're seeing your European business perform. Certainly there's a lot of evidence that those economies are slowing but we also have the perception that that's more of a government reimbursed services, just curious if you're seeing slowing in those end markets within the EU?
Stanley M. Bergman - Chairman and Chief Executive Officer: Yes on D4D we remain very optimistic on the product. I think so I think its some what out of a control launch we're filling classes very nicely, we're not dramatically increasing the capacity of classes, the systems we're selling are sticking very nicely. We are having no problem in financing these acquisitions, we're seeing a steady growth in consumable sales in that area. And we believe that D4D will continue to contribute in terms of sales growth of equipment over the next year or so and perhaps cushion some of the decrease in sales of the very, very high tech... very, very expensive high tech equipment and we can justify to our customers that they can save money by installing a D4D product. We're very happy with the quality of the product I think the studies have been done by some of the universities; although not public yet are showing very, very good promise and we think the product overall is as competitive on all the major features as any other product, but actually better on many of the features as well. As far as Europe is concerned, the economy is obviously impacting the financial statements, the savings of our practitioner customers. We did have a very good quarter in the third quarter. We obviously can't give specific guidance on the fourth quarter other than we think that we continue to gain market share and we think the consumable market share in general is not going backward, may be growing slightly. On the equipment side is the usual fourth quarter the year before the FDI meeting that we have to take into account. I think you're aware that every two years in either March or April there is a significant Dental show in Germany in Cologne where new equipment is shown and very good deals are offered to the practitioners. And for that context that every years the fourth quarter tends to be not as good as the previous quarter, given that practitioners are waiting for the new products that will be launched and also are awaiting to see what kind of deals are offered at the show ... at the IDS show in Cologne. So overall, I think the European business from a market share points of view continues to grow. The profitability of our... the expected profitability of our international business is taken into account in Steven's guidance and we remain very optimistic about our opportunities in Europe and Australia, and New Zealand.
John Kreger - William Blair & Company, L.L.C: Thanks very much Stanley.
Operator: We do have time to take one more question. And it comes from line of David Veal.
David Veal - Morgan Stanley: Okay, just a couple of follow up questions on the guidance. Steve if I'm doing the math right, the fourth quarter numbers look like $ 0.88 to $ 0.90. Is that the right range?
Steven Paladino - Executive Vice President and Chief Financial Officer: Yes, I think that's correct.
David Veal - Morgan Stanley: Okay. And could you just walk us through what you are thinking for the debt side of the equations that convert and also the senior notes for that are due to next year?
Steven Paladino - Executive Vice President and Chief Financial Officer: Sure. Let me just me point out that you mentioned Q4. Remember because of flu vaccine being available earlier this year than last year, you do have some timing that was accelerated in Q3 this year over Q4. So, just keep that in mind when looking at Q4 in isolation. With respect to what's going on with our convertible bonds, as you may know there is a change in the accounting that is required starting January 1st for the convert that is factored into our guidance, because obviously it's something we are aware that we know about and the change is already done. So that will have somewhere about a $0.03 or $0.04 additional expenses impact and is build into our 2009 guidance. With respect to maturities that are coming due at this point we have ample availability through free cash flow as well as our credit line really just to re pay some of those senior notes as they come due and that would be the plan at this point.
David Veal - Morgan Stanley: So you wouldn't just taken on some new debts to replace that then?
Steven Paladino - Executive Vice President and Chief Financial Officer: I don't think we need to. We'll see at that time what the debt market and obviously we do have a very attractive terms then I will existing credit facility but there is no need really that we are going to position, we have to refinance, so we could just refinance it with the revolving credit facility.
David Veal - Morgan Stanley: And I guess conversely, if you saw deal like that might have come down the pike you wouldn't be opposed to taking on some debt to get that done?
Steven Paladino - Executive Vice President and Chief Financial Officer: That's correct. Hopefully, as Stanley said, I think acquisition opportunities because we have a strong balance sheet and we have $280 million of cash on the balance sheet at the end of the third quarter, in addition to the $400 million credit line. I am hopeful that we're going to see attractive opportunities in acquisitions because valuations from a year or two ago, certainly should be down from where they historically have been.
David Veal - Morgan Stanley: Great, I appreciate the question.
Steven Paladino - Executive Vice President and Chief Financial Officer: Okay.
Operator: And we now have reached the allotted time for the Q&A portion. Are there any closing remarks?
Stanley M. Bergman - Chairman and Chief Executive Officer: Thank you very much everyone for participating in the call. I am sorry it went on 10 minutes longer than we usually allot. But I think there were just a lot of questions and we wanted to give everyone a chance to ask at least one question. As I think you've heard from both Steven and myself, although we are somewhat cautious about the macro economic trends, we feel that the business is of course in good shape as I mentioned several times and Steven mentioned several times. Our customers are busy, that's the reports of the practices that are not as busy as in the past. The business generally is in good shape. We are not immune from the economic environment. We had very good plans in place to manage our growth in sales, in gross profits, gross profit both internal and through acquisitions and therefore, the increased operating margin and we believe we can turn all of this into consistent earnings per share growth as Steven has mentioned, and in turn the EPS into cash flow. Together with our good balance sheet and the cautionary changes we've made in our team to reduce our expense exposure, I think we will do very well during these turbulent times and continue to deliver shareholder value as we have in the past. So thank you again for joining us. If you have any questions please feel to call Steve Paladino, our Chief Financial Officer at 631-843-5500. And I believe his direct extension is 5915. So thank you very for participating in this call. And we will be back again in
Steven Paladino - Executive Vice President and Chief Financial Officer: About three months.
Steven Paladino - Executive Vice President and Chief Financial Officer: Is it three months or is it in little longer because of the fourth quarter. So about 120 days. So thank you very much.
Operator: This does conclude today's conference call. You may now disconnect. .